Francoise Dixon: And welcome to Mach7 First Half FY '26 Results Briefing. My name is Francoise Debelak, and I'm Head of Investor Relations for Mach7. Today, our CEO, Teri Thomas; and our CFO, Daniel Lee, will provide an overview of the first half results. We will then open it up for questions. [Operator Instructions] I'll now hand over to Teri.
Teri Thomas: Thank you, Francoise. And hello, everybody, and thank you for joining us for the first half fiscal year 2026 results. Let me start with something that I think we can all align on. Sales matters. Sales fuels growth. It funds innovation and innovation fuels more growth. And ultimately, sales drives shareholder value. Now I happen to love sales. I've spent more time in sales than any other role in my career, and I believe it makes the business world go around. But more importantly, I know that sustainable, disciplined sales growth is what you want to see from Mach7, and I do too. Good news is we now have an enhanced, growing and focused team driving progress, strengthening pipeline quality, improving conversion discipline and aligning our commercial engine with our strategy. You'll hear more about that shortly, including a guest appearance later in the presentation. So let's begin. On our vision, before getting into performance, I really want to ground us into who Mach7 is and where we're going. Our vision is simple, but it's ambitious, to be the global imaging EMR. We win by completing the patient picture with the patient's pictures, and we do it better than anyone else. We -- health care has done a strong job organizing text-based and numerical clinical data, but imaging remains fragmented. It's locked in silos across departments, different formats, and that fragmentation creates friction for clinicians and inefficiency for health systems. Mach7 exists to solve that. Our move from archive to architecture is about making imaging accessible, usable and a core layer of the patient record, AI-ready and truly vendor neutral. That vision sets the destination, so let's talk about how we're getting there. Now this slide gives you a road map for our next 20 to 30 minutes, and I'll begin with a business overview, what we've done strategically and operationally in the first half. Dan will then walk you through the financial performance in detail. And after that, as I mentioned, we'll have a special guest appearance from our Executive Vice President of Sales, Todd Stallard, who will share his perspective on our commercial reset and how we are turbocharging our revenue engine. I'll then close with our outlook for the second half, and we'll open for questions. So let's move into the business progress. First half reflects a deliberate execution of the reset we outlined late last year. Now I know a slide like this, with the word reset, front and center can feel a bit unsettling. It can sound like disruption because it is. Meaningful progress rarely happens without disruption. And to me, reset spells opportunity. It means we sum in our courage to evaluate ourselves honestly and make the necessary changes to unlock Mach7's full potential. This has been a true top to bottom review. Our people, our structure, our technology, our office locations, our commercial models, our pricing, our cost base and our culture. Nothing has been off the table. We've now sharpened our road map. We've rebuilt the commercial engine. We've disciplined our cost base. We've clarified how we operate. This was comprehensive and it was intentional. We are not here to preserve the status quo. We are here to compete. We're here to win. So when I say we're here to win, well, winning requires follow-through. We are now largely through the reset phase and the scale of change has been significant, evolving leadership team members and roles, refining the product road map, reshaping our organization, intentionally shifting our culture toward performance and accountability. In our industry where sales cycles run 12 to 24 months, commercial impact also takes some time to fully materialize, but that doesn't mean our progress is slow. We secured our first new logo this half in quite a while, and it was a Flamingo customer. We did it quickly, and we did it differently. We listened more deeply. We aligned more directly to the customers' most challenging problems, and we positioned Flamingo exactly as it was designed, not just as another commodity product, but as a smarter way to solve complex imaging challenges. In that case, our image data orchestration on top of another vendor's radiology system. We think this customer may buy more modules from us in the future, and we're delighted to have helped solve their problems with the new product. Now that shift in engagement reflects our development of far stronger commercial muscles. We'll address that in more depth as I give Todd the opportunity to speak to our commercial evolution well underway. Operationally, we've made some difficult but necessary headcount reductions as part of our reset. That said, this isn't contraction for contraction's sake. We fully intend to grow headcount over time, but deliberately and strategically with high standards, leveraging lower-cost innovation hubs to increase our development velocity while maintaining strong cost discipline. On the customer side, our dedicated implementation support and customer success engagement team, our Flight Crew, was initiated in August. We are leaning into a culture of continuous improvement. What was working well in eUnity support as evidenced by our class scores is being extended into deeper and more proactive engagement with our VNA customers as the next phase. We're building institutional knowledge about our customers' environments and their needs, and we're using that knowledge to improve responsiveness, reliability and long-term relationships. And finally, while the slide references continued progress towards CE Mark in the first half, I am proud to share in January, we officially received our CE Mark for medical device eUnity under the EU Medical Device Regulations. That is a meaningful accomplishment. The CE Mark confirms our regulated software meets the EU safety, performance and clinical evaluation as well as post-market surveillance requirements. It is a rigorous and detailed process. And this milestone ensures access to Europe and Middle East and reinforces the strength and the quality of our product. Our execution is in motion. Now as I mentioned earlier, Mach7 completes the patient picture with the patient's pictures, and that is not just a tagline, it's real. Each day, clinicians use our software to access critical diagnostic images, but also patients themselves are logging in to view their own images with our eUnity Viewer. It's powerful. And we're not just supporting workflows, we are enabling improved health care experiences. Now delivering on that requires more than strong products. It requires a strong operating model. So as part of this reset, we're improving how we design our software, how we deliver it, how we sell it and how we support it. And those functions are aligning around a continuous customer-centered loop rather than operating as independent and segregated functions. Customer success generates insight, insight informs our marketing. Marketing strengthens the pipeline and sales conversions. Sales funds innovations and innovation increases our differentiation, including our new Flamingo modules. This creates more opportunity to win and to grow revenue. That loop, it is intentional. We overlay that with a more disciplined ROI-focused cost base, and overhauled commercial engine and a road map that's grounded in real customer needs and market demand, then you have a company positioned to grow and grow with purpose. This is growth by design and designed to be profitable. Now if my last slide described the system, this slide is about the engine. We rebuilt the sales organization with defined ownership across new customer acquisition, expansion within our installed base, strategic partner development, services alignment to support long-term value and that clarity improves speed, discipline and conversion quality. We've streamlined operations, not simply to reduce cost, but to redeploy resources toward growth positive capabilities and improve our communication, coordination and ultimately, our efficiency. We are investing where we see a return, pipeline quality, partner leverage, marketing, execution excellence. It connects directly back to the loop I just described, customer insight, feeding opportunity, opportunity funding innovation, innovation strengthening differentiation. Todd will speak more specifically about how this plays out in the field. But at a high level, the commercial engine is aligned with the strategy and profitable growth. We are no longer operating in different tracks. We are pulling in one direction. Now we have an industry-defined defining VNA and a well-loved zero-footprint viewer. It's fast, and these have been part of Mach7 for years. But I want to talk again about Flamingo. And I'm going to go a bit off-road here and depart from this slide for a minute. Think of where Flamingo fits in by picturing a sandwich. At the top of the sandwich, you might have a beautiful piece of multigrain bread. It's what you see first looking down at it. It's appealing, it's sliced well, really great texture, and there's some immediate value that you can see. Now that's our eUnity. It's our zero-footprint diagnostic quality viewer. At the base of your imaging strategy, you have sturdy bread, holds everything together. That's the foundation, the VNA, necessary, predictable. Think of a thick piece of sour dough bread, reliable. But on its own, maybe not all that exciting. What makes the sandwich compelling is what you add in between. Maybe you got some cheese and it's hot. That's AI enablement. It gives customers a practical path to explore and operationalize AI within their existing ecosystems. It's where the sandwich starts to feel a little different. Maybe you put in a layer of meatballs, our dynamic policy engine, intelligent routing and orchestration. That's what our first Flamingo customer needed, solved a very specific, very real workflow challenge, and it did so elegantly. Maybe you put in some spinach for a customer trying to go healthy, lighter, intelligent cloud migration, reduce infrastructure burden, increase agility, maintain control. Different customers have different appetites, different constraints, different needs, different priorities. And just like we don't all want to eat the same sandwich, our customers don't all need the same solutions. Flamingo is modular by its design. Customers choose the components that solve their specific problems, whether it's layered on our products or on others. And that's the power of our true vendor neutrality. We are not forcing a fixed menu. We are enabling choices. That flexibility creates opportunity and potential for rapid differentiation and opens new revenue pathways, including as a stand-alone entry point. So Flamingo is now available for sales within our customer base as well as to new customers. We signed our first customer in the second quarter and have been in discussions with several others, including addressing EMR integration challenges, AI wants and needs, cloud strategies and how to help customers mitigate risks related to other vendor lock-ins. Driven by real customer needs, we're prioritizing the next Flamingo modules to develop. Our pipeline is progressing, and we're being disciplined about quality over quantity as well as ensuring good product customer fit. We expect Flamingo-related support of growth in our ARR from this half onward. It won't be overnight, but it is strategic for our customer-focused growth strategy. Now RSNA. It was a strong event for Mach7. It added some great momentum to our transformation. Our team had some deep high-quality conversations rather than just quick booth interactions. We engaged with numerous existing customers, strong prospects and numerous partners as well. It was an efficient way to strengthen our pipeline and clearly articulate the Mach7 Flamingo story as we continue our shift from archive to a broader architectural offering. And our message, it resonated. Our booth was often full. Our team engaged in problem-solving discussions about AI, interoperability, workflow orchestration and cloud strategies. We presented in the AWS booth, and we also hosted a customer event that was well attended. It created space for relationship building and deeper exploration of the challenges our customers are facing. RSNA reinforced Mach7 has a credible and differentiated story to tell. And next will be HIMSS and SiiM, 2 relevant conferences to strengthen our market presence as well as our pipeline. Now one of the reasons I took this job is the size and scope of imaging as an industry. It's a big space. It's a growing space. And as a nurse, I love that we have the opportunity to make a positive impact on health care. The total addressable market here is significantly larger than what I worked in previously, and the macro trends support what we are building. Health care is structurally resilient. People keep getting sick and imaging demand does not disappear even in down economic cycles. Diagnostic imaging continues to grow, not just for diagnosing illness, but increasingly for wellness monitoring and even guiding treatment. Imaging volumes are rising and data complexity is rising with the addition of digital pathology, an area of high innovation for Mach7 and also an emerging area for our industry as a whole. And health systems need smarter ways to manage and activate that data, including some very, very large data sets, especially in digital pathology. AI and medical imaging is expanding rapidly, but AI only provides value if it's accessible. So we are positioned well at the intersection of imaging, AI enablement and data independence, helping health systems unlock the value of their broader imaging ecosystems. Now I believe the key to success is focus. You need to speak to someone. And if you try to address everyone, in the end, you speak to no one. Our ideal customer profile centers on academic medical centers, large integrated delivery networks and teleradiology groups. We know these customers. We already serve many of them, including some very well-respected names in our industry. I personally do love to speak to customers, which I try to do weekly, and I even get out and visit customers, real face-to-face interactions. And I'm delighted to have personally visit 2 of the organizations on the screen over the past month, and I heard firsthand how our software is stable, improving access and supporting complex clinical workflows. They value data independence, AI readiness, a lower cost of ownership and fast image access. Smaller sites, veterinary clinics, those kind of non-focused customers, we still serve, but through partnerships versus directly, which then supports our focus and our profitability. Now one of the most important lessons I've learned in sales is this. Knowing your customer is essential, but it is not enough. You must clearly understand your value-add points of difference, defend them and continuously expand them. That's how you avoid commoditization. That's how you protect margin and it's how you win. So for Mach7, differentiation starts with true vendor neutrality. We give customers control over their data without forcing replacement of their existing niche or specialty imaging systems. We layer that with AI enablement and intelligent orchestration, our Flamingo dynamic policy engine, supporting complex routing and workflow automation. Now security is another key advantage for Mach7. Health care is one of the most targeted industries for cyber threats. Our BitSight Security Rating of 750, which is categorized as advanced, sits above industry average. BitSight is an independent third-party cybersecurity rating platform used by large enterprises, government agencies and people like our big target customers. This isn't self-reported marketing language, it's externally measured and validated performance. That credibility strengthens trust and supports enterprise sales conversations. You add subsecond image access speed and strong price to performance value and you have a differentiated rating that resonates. So knowing our differences, step one, extending and defending them through flamingo modules, a solid dedicated customer engagement with the Flight Crew and disciplined execution. That's where things start to hum and it's where focus turns into competitive advantage. So let's turn to execution in the second half and our main priorities. First, sales momentum. We are focused on bringing in new customers, increasing proactive engagement within our installed base and accelerating opportunities in Asia and the Middle East. We're doing this with pipeline discipline by prioritizing quality, conversion and alignment with our ICP, not pursuing revenue at the expense of long-term margin. Second, execution. Our Flight Crew model is now operational, and we've organized our teams into structured pods based on customer archetypes like full suite customers, partner-led accounts, VNA-only customers, allowing us to build deeper expertise and deliver more consistent outcomes. We've also introduced company-wide week plans to increase visibility, accountability and predictability. And execution is becoming measurable and repeatable, not variable and personality driven. Third, leadership and organizational readiness. We've refreshed over half of our leadership team, and we'll be onboarding an experienced CTO to strengthen platform scalability and engineering discipline. And finally, cost discipline and structural leverage. We're investing in growth critical capabilities where the ROI is clear. We are optimizing our location strategy, including transitioning from a large, underutilized headquarters to a smaller, more nimble, cost-efficient, technology-enabled hub that can flex in size and foster collaboration and ongoing innovation. Our objective is disciplined profitable growth, sustainable expansion and execution that compounds. We've taken on some hard actions. We've aligned the organization, and now we begin to drive results. And with that overview, I'll hand over to Dan to walk you through the detailed first half financial results.
Daniel Lee: Thank you, Teri. I'm pleased to walk everyone through Mach7's first half fiscal year 2026 results. This half was a period of intentional transformation for the business, strengthening our foundations, sharpening our commercial execution and positioning Mach7 for future growth. The first half reflected lower capital license activity as we undertook a strategic commercial and organizational reset. While this impacted reported revenue, the underlying fundamentals of the business remains strong. Recurring revenue was resilient at 85% of total revenue, representing a strong and stable base. We maintained excellent gross margins of 92%, demonstrating the scalability of our platform and services model. Operating expenses decreased by 6% as our disciplined reset efforts began delivering early efficiencies. And critically, Mach7 remains in a very strong financial position with $18.5 million in cash and 0 debt, giving us the flexibility we need to execute on our strategy. Revenue for the first half was $13.7 million, down 23% on PCP. This reflects lower capital license sales during this reset period. Recurring revenue of $11.6 million declined 8% from PCP and now comprises 85% of total revenue. Total CARR of $26.1 million and ARR run rate of $23 million were down just 8% (sic) [ 12% ] and 2%, respectively, on a constant currency basis. While EBITDA and net profit after tax were impacted by the revenue mix shift, our cost reduction initiatives and high-margin profile support improving operating leverage as activity rebuilds in the second half of fiscal year 2026. Our revenue mix continues to evolve towards subscription and the maintenance and support model. Professional services and capital licenses were lower, which we anticipated during this transformation phase. Our ARR run rate remained stable at $23 million, supported by our installed base and renewal performance. Product revenue remains balanced with a 55-45 split between VNA and the eUnity Viewer. Sales orders for the half came in at $10 million in total contract value. While lower than PCP, we saw a significant shift toward high-quality recurring revenue, which again represented 85% of sales orders. Capital software sales came primarily from expansions within our existing customer base, a positive indication of customer satisfaction and platform value. Professional services orders were lower as expected during this reset, but we anticipate an uptick as new deployments come online. Our foundational book of business remains strong and provides a solid platform for future growth. Despite the revenue decline, gross margin remained strong at 92%, reinforcing the scalability of our model. Operating expenses improved by 6% as our recent initiatives took effect. Adjusted EBITDA tracked lower in line with revenue, but we are seeing early evidence that the cost base realignment will create meaningful leverage as we move forward. Cash receipts were $12.5 million, and we ended the half with $18.5 million in cash and 0 debt. We continue to operate with financial discipline, and our balance sheet provides the capacity to execute our go-to-market and product strategies without compromising stability. We expect improved momentum in the second half as sales execution benefits from our reset, partner alignment continues to strengthen and customers progress into deployment and expansion cycles. Thank you. And back to you, Teri.
Teri Thomas: Thank you, Dan. All right. Those financials, they reflect transition. And now let's talk about acceleration. Commercial excellence is about discipline, hard work, rigor and scale. We are modernizing marketing, research-backed messaging, full funnel activation and omnichannel execution. And to lead this next chapter, we appointed Todd Stallard in September. Todd brings deep experience across commercial growth, partnerships, enterprise technology and product-led environments. Todd, I welcome you to introduce yourself and share a little bit about our commercial reset.
Todd Stallard: Thanks, Teri. Hello, everyone. I'm Todd Staller. I'm the VP of Sales and Marketing at Mach7. I joined 5 months ago, as Teri just said. When I joined, I was coming on to build an organization, not maintain a revenue organization that had been struggling, if you will, for some time. The ability for me to come in, see this company and take the opportunity is considered by myself as a blessing. My mandate covers the full commercial engine, direct enterprise sales, a global channel partner program, marketing function to reposition Mach7 around what we believe is a category-defining opportunity, and that is the world's first real imaging EMR. Health care imaging infrastructure is where electronic medical records were around 15 years ago, pretty fragmented, siloed by department, locked into proprietary systems. Hospitals running 3, 4, sometimes 5 different PACS systems across radiology and cardiology. It was never supposed to be that way, and it's not unusual today to still see that. That is the problem that exists that we at Mach7 can continue to build our product and our offerings to clear that fragmentation. That fragmentation costs health systems millions in redundant infrastructure. It slows clinical decision-making. It blocks the adoption of AI tools that can transform patient outcomes and assist doctors that are overworked. Mach7 exists to solve that problem, as Teri said earlier. Our platform provides the vendor-neutral data layer, the archive, the routing intelligence, the integration fabric that allows health systems to consolidate all imaging into a single source of truth. And that way, they can also choose the best-of-breed viewer, which is eUnity. With our Flamingo architecture, we're moving beyond storage and routing into more imaging operations, data management and AI analytics. That is something that the customers are demanding. On the commercial side, I'm focused on 3 things. Converting our improving pipeline into closed revenue, building a partner leverage go-to-market that scales with linear headcount growth and driving the brand position that earns us a seat at the table every enterprise imaging decision that comes about. Our net new CARR pipeline for new logos has grown 30% over the last 3 months. We've worked hard. We've cleaned up our pipeline. We're trying to provide clear tracking and information to Teri so that the management organization at the company understands what our opportunities are. We're looking at driving more marketing lead conversions and partner co-sell and co-marketing activities. I base this on basically 3 strategies, and those strategies are pretty simple. Strategy 1 is pipeline discipline. We've got to qualify every opportunity against 6 factors: quantifiable customer outcomes, budget authority, evaluation criteria, buying process, identified paying internal champions. We've done a good job of cleaning the pipeline up. When we first came in, it was a little maligned, stale, not necessarily the sense of truth, and we've moved forward now and we're building those stale leads have been removed. Those true opportunities and the probabilities have been shifted into building a weighted ARR forecast. Those numbers reflect reality. And in the future, that will help us begin to build more trust and belief in what Mach7 delivers. Strategy 2, partner at scale. 4-pillar programs. We need to enable our partners and recruit new partners in by training and onboarding them, getting them into the Mach7 world, understanding the community that we service and understanding how we service them with our technology. We need to engage through joint planning and QBRs with those partners. We will hold their feet to the fire. We're going to be held accountable. We're going to execute through co-sell and co-marketing with them. We will invest with them. We will drive. We will push for leads. We will bring them on to help drive the business. And those types of partners that include hyperscalers, VARs, health care MSPs, a variety of partners that are out there that are chomping at the bit to have a good company like Mach7 offer our opportunities to them. The model scales revenue without scaling headcount necessarily. We will build our sales team out, but we can get a lot more reach by leveraging our partners. Strategy 3, market position. Launching the imaging EMR brand in this coming March across all demand gen, thought leadership and the customer marketing. As Teri mentioned, Mach7 is the picture of the patient's picture -- it's a tongue twister for me. The patient's picture completing the patient's picture, right? We're going to drive on that. And that is where the imaging EMR brand comes across and will be pushed through in our strategy of how we reach out marketing-wise. And we've restarted recently the engine, right? We've put gas back into it. We started launching socially. We've been pushing out a variety of information, and we'll continue to do that as we ramp towards those events that Teri talked about that are revenue generators for us from a standpoint of marketing qualified leads to sales qualified leads, HIMSS, SiiM and RSNA. Underneath all of this sits the revenue operations team. We have an outstanding resource that I call my right brain. She is phenomenal, and she helps drive the pipeline velocity, our partner attribution, our lead conversion and our scenario-based forecasting. We are getting much cleaner on that. And that will show promise down the line that we're converting more of our leads and we're engaging with our customers faster. And hopefully, we'll be able to cut down our time frame for closing, which is right now averaging between 12 to 24 months depending upon what the solution is. There is a market tailwind with us. The shift from proprietary packs to vendor-neutral platforms has been converting over the last couple of years, but it's starting to accelerate. And due to the AI momentum, I will say, that's starting to build up in the medical environment. The Flamingo architecture will allow us to do a lot of things with AI integration as we move down the line, that will offer some specific opportunities for different areas that we haven't necessarily explored before. But I want to reiterate, we're early in this, right, on the sales and marketing side. That doesn't mean things slow down. It doesn't mean that we don't drive hard on the number. It doesn't mean that we don't avoid hitting the goals. We're going for the goals. We are pressing on the goals. My job is to convert everything that comes into this as closed revenue, and that's exactly what we're going to do. But I want you to know it's early in the build. I'm not going to pretend, but the market opportunity is massive. The technology we have is a differentiated component. The team that I have and the team at Mach7 now is executing. That's different than was in the past. So the mission matters to me, and the commercial organization is focused to drive growth and new logo capture. I'm glad to be here. I'm happy to have the opportunity. I look forward to working closely with Teri and Dan as we move forward.
Teri Thomas: Thank you so much, Todd. I appreciate that. I love about Todd. He brings a lot of energy to the role. He tells it like it is. He's my BS detector. He's a great partner. So thank you. Now on our outlook, as we move into the second half, we've got a solid strategy. We've got stronger operational foundations. We are improving our commercial momentum. We've got some early Flamingo traction. We've exhibited disciplined cost management, which will be ongoing. We are selectively investing where ROI supports it, sales execution, partnerships, product development, Flamingo, overall platform scalability. It's controlled growth. It's not reckless expansion, and we remain confident in our strategy and focused on our execution. So I want to thank our Board, our employees who've been working hard in this transformation and our shareholders. And we'll now open it up for questions.
Francoise Dixon: Thank you, Teri. We received a couple of questions in advance via e-mail from [ Matt Hale ]. So I'll start with those. Can you comment on the customer response to the Flamingo solutions?
Teri Thomas: Absolutely. One of my favorite conversations, and this is with a -- in the middle of our bull's eye ideal customer. They came by at RSNA. And I heard that they'd considered us previously and never looked at us. And I requested, come by, you're going to see something different from what you've seen with Mach7 before. And I said, I actually want to test out with you, does this resonate? And I just laid out for him the Flamingo architecture, the different directions, the modularity, the capabilities, the problems that we're solving. And he said, you are speaking directly and taking off almost every single box of what we're trying to do, but more importantly, what we've been struggling to find solutions to fit. And that's key. It's not chase after what everybody else does. It's fill the gaps that nobody else does. That's differentiation, that's power, and that's what Flamingo is all about. So I could not have heard a better validation for a customer to say, am I your ideal customer and you are speaking to me and you are addressing unique challenges. So the biggest challenge for us now, get the word out. Our marketing was underdeveloped, and a lot of people don't know who Mach7 is. So as Todd mentioned, we've done a significant overhaul in our marketing engagement strategy, everything. And our velocity has picked up in marketing messaging starting actually this month in the last few weeks, but there's going to be more and more of that as we launch some changes to our brand and get that word out so that people know there now are solutions to these problems with Flamingo.
Francoise Dixon: Thanks, Teri. Matt sent through a second question, which was, can you provide an update on the CTO hire?
Teri Thomas: We're so close. I was actually hoping we might be able to say we've hired our CTO by now, but we're in our final discussions. We had a very strong response when we started looking far more strong candidates than I anticipated. I think that does relate in our industry, it's actually a great time for our transformation, whether it's executive roles, support roles, developer roles because a lot of organizations have implemented return to work policies. There are a lot of people on the market and some top skills. So we are very close. I expect that we will have a new CTO committed within the next couple of weeks, likely starting in the next month or 2.
Francoise Dixon: Thanks, Teri. I'll now turn to the live chat. And our first question comes from [ Jesse Livermore ] who asks, how long should we expect the reset in brackets declining revenues to continue. Are we back to growth in the first half of '27?
Teri Thomas: Our guidance related to revenue is we anticipate to be somewhere around even from what we did last year. Now I've put the caveat. This does rely on some capital deals likely out of Asia. There are also opportunities out of our services part of the organization, which you bring new customers in, you get services. So we expect to stay pretty flat this year. I do expect next year to be a year of growth. That should be when a lot of the commercial momentum starts to really hit.
Francoise Dixon: Great. Thank you, Teri. Look, we have now -- we've got now questions come through from Ian Wilkie. How quickly do you expect Flamingo to shift from an early adopter product to a material driver of ARR expansion? And what are the leading indicators that you look for internally that tell you Flamingo is becoming the default architect of choice for new deals?
Teri Thomas: It's an interesting question because Flamingo is an umbrella of a lot of modular purchasable options. And it's something that I expect will not have an end, but will continue to grow. So shifting from early adopter product will happen all the time because we'll have new products and new capabilities and new modules that people can add. Now our first Flamingo offering which is what the customer I profiled bought is something that's been around, but wasn't really packaged up in the right way that was meeting customer needs. It was simply a part of our VNA, required the VNA, and we were actually losing that sale because we were telling them they needed to buy more than they needed to buy. So the first thing that we are doing is analyzing how many solutions have we actually built in as niche solutions that are just part of the VNA that don't apply to everyone and could be modularized. So I expect the process of building out Flamingo as a broader architecture and an offering that drives significant revenue to increase roughly on a quarterly basis over the next 2 years. And at that point, we expect our differentiation to be very solid. We expect this to be the key in terms of us owning the imaging EMR. Now leading indicators are very easy when you look at using CRM with any rigor. How many deals do we have Flamingo elements in and what's our win rate? So easy for us to track. The part that's fascinating, though, is so much of Flamingo strategy prioritizing what we're packaging is related to deep customer engagements within our current base. So it's easier to get traction when you have clear alignment with the problems that you're solving and you don't put that into just the hands of the customer support team or the product team or the development team. So we are unifying our teams around deep engagement with our customers and letting them shape priorities and have a say as we're taking some of these components of our VNA and packaging them up to be sold stand-alone as part of Flamingo. So expect it to be ongoing.
Francoise Dixon: Thanks, Teri. Our next question comes from [ Max ]. Please talk about the threats and opportunities you are seeing in relation to AI.
Teri Thomas: I see very few threats in our industry. It is almost all opportunity from my perspective. There's, of course, operational opportunity that we all see to accelerate our ability to deliver software, but I don't see AI coming in and replacing the software that we deliver. Imaging is extremely complicated. Health care is -- even though imaging is one of the areas of health care that uses AI most with over 1,300 FDA-approved AI algorithms, it's alphabet soup out there. So lots of opportunity for us as a company to provide a platform and help customers determine how to best leverage the huge world of AI opportunities out there to improve diagnosis. We also -- instead of fighting with AI, we open the door and we embrace it internally, but also with our customers and on behalf of our customers. For example, our partnership with Strings enables our customers to better manage their Mach7 archive using AI-enabled tools. So creating those partnerships, opening those doors, embracing and guiding our customers through our Flight Crew and close engagement with them only opens up more opportunities. We have seen nothing that has given us pause or any threats based on AI to our commercial activities thus far.
Francoise Dixon: Thanks, Teri. Our next question comes from [ Andrew ]. Have we had any sales of UnityVue? And is that still a focus?
Teri Thomas: Yes and no. We haven't sold eUnity View directly ourselves, but we have proceeded in an engagement with a customer that has Nuview and our technology, and we've been working through enabling how that works together in order to ensure that  UnityVue is tried and true and available and referenceable. So it is part of our go-forward strategy. However, we, ourselves have not sold it yet. Ask me again in the future, I think the answer will be different.
Francoise Dixon: We have no further questions on the chat. I'm just going to pause a minute in case any come through. We have no further questions at this time. Teri, I'll hand back to you for closing remarks.
Teri Thomas: All right. Thank you so much. So as those of you who know me would know, I do believe in setting clear expectations, but then delivering on those. So we are driving a meaningful shift in our culture and our operating model and execution and transformations like this take time. Sales cycles are long. We're working to accelerate them, but there's only so far you can go. These relationships have to be built. The architecture can be complex, and our solutions rely on an understanding of a number of different systems in the ecosystem. The class momentum builds steadily and is a lagging indicator. And our revenue acceleration really follows our disciplined execution. That said, the foundation is now really, it's in place. The strategy is clear. The opportunity is significant and our balance sheet is strong. So I know it's about delivery, and we are building Mach7 to realize its full potential. I firmly believe the opportunity ahead of us is greater than our current results reflect. My commitment is to lead with clarity, work with intensity and execute with the discipline required to deliver the growth that I believe this company is well capable of. So I thank you, my Board, the team, our investors for your faith, and I look forward to giving you an update again in a few months.